Operator: Hello, and thank you for joining us in Garanti BBVA's First Quarter 2024 Financial Results Webcast. Our CEO, Mr. Recep Bastug; our CFO, Mr. Aydin Guler, and our Investor Relations Director, Mr. Handan Saygin, will be presenting today. As always, there will be a Q&A session following the presentation [Operator Instructions] The presentation will now start. So I'll leave the floor to our presenters.
Handan Saygin: Hello, everyone. Great to be with you all on another earnings call with our typical outstanding set of numbers. Start to 2024, thankfully, it was better than what we envisaged for the quarter. Even though election worries uncertainties remained and new regulatory challenges surfaced, we had a strong start to the year. Now before getting into our financial performance details, I will begin, as usual, with a brief overview of the broader macroeconomic environment we operate in. After realizing 4.5% GDP growth in 2023, we now cast above 6% annual GDP growth for the first quarter of the year. Given the strong start to the year and continuing tightening measures, we expect 3.5% growth for this year. We expect the Central Bank to remain tight for longer with additional demand restrictive policies, including a restricted fiscal stance, isolating, of course, the needed earthquake spending. We did not change our year-end inflation forecast of 45% post the policy rate hike in March. However, our bias is that it can be lower than 45%, depending on the potential new restrictive measures. The rebalancing that has already started in the economy will result in much lower external financing pressure. We expect the current account deficit to diminish to $24 billion in 2024, down from last year's $45 billion with improving net trade deficit, higher tourism revenues and lower net gold imports. Accordingly, we expect the year-end current account deficit to be 2%. On fiscal side, we expect fiscal prudence to remain and help to target this inflation path. We expect the year-end budget deficit, excluding the earthquake spending remain below the master criteria of 3%. Now time for the financial results. We booked TRY 22.5 billion of net income in the first quarter of 2024, suggesting a return on average assets of 3.9% and a return on average equity of 36%. Net income in the quarter seems to have dropped by 23%. However, when adjusted with the TRY 3 billion of free provision reversal booked in the prior quarter and the CPI income difference of net of tax, TRY 5 billion, you can see a quarterly improvement in the clean net income of about 4%. The main reason behind our improving trend is the highest in sectors, both in level and the share of core banking revenues in total. Our core banking, meaning largely customer-driven and therefore, sustainable revenues in the quarter was up by 28%. Components of that, the core net interest income grew by 30%, pure trading by 58% and the net fees and commissions by 16%. These definitely point to a higher quality of earnings, which remains to be our inherent strength. As you can see on Slide 7, loans make up the majority of the assets. We booked 16% Turkish lira lending growth in the quarter while sticking to the imposed loan growth caps and registering higher growth in the areas where growth is expected and or desired such as investments, export, credit card and earthquake-affected area loans. In foreign currency lending, we had seen the opportunity there earlier and started the growth already in the prior quarter. We grew the book by another 1% in the first quarter. You may recall that we project a low single-digit growth in foreign currency lending for the whole year. On the securities front, we had some regulatory-required security purchases that, along with the existing CPI Linker accruals brought the Turkish lira securities growth to 22%. Nevertheless, securities share in assets remain at around 15%. On this page, Slide 8, you can see our Turkish lira loan portfolio components and the growth in each area. Solidifying our leadership, our Turkish lira performing loans neared TRY 900 billion upon the 16% Turkish lira loan growth in the quarter. There was 19% growth in credit cards, 17% growth in business loans and 11% in consumer loans. And accordingly, we could register market share gains across the board. You can see our market share gains on the bottom left-hand side. Moving on to the quality of the total loan book of TRY 1.4 trillion, 88.5% is in Stage 1, TRY 137.5 billion or 9.6% is in Stage 2. Isolating the currency impact, which has affected largely the restructured portion of Stage 2, Stage 2 increase of TRY 3 billion was largely due to the increase in the SICR portion, namely those expected small ticket size retail loans. The coverage for Stage 2, though remained high at 21%, levels. Notice that the foreign currency loans under Stage 2 coverage is 43%, and Turkish lira loan coverage is 8%, bringing the total to 21%. And 86% of the SICR portion is currently not delinquent at all. As for the NPLs, you can see on next page, the ratio post NPL sale and write-downs was 1.9% as of the quarter end. The net NPL inflows in the quarter shows that the flows are normalizing and are a multiple of that of last year's. 80% of the new NPLs relate to retail and credit cards portfolio as expected upon the end of, of course, the end of the cheap funding period. Credit card portfolio NPL increase alone was almost sixfold that of the last year's and retail, about 2.5 fold. Collections on the other hand, continued very strong, owing to the high fairing recoveries in the wholesale business. Our total provisions on balance sheet, including the written-down portion accumulated to TRY 68.5 billion. This is the highest provision level among the private banks and represents a near 5% cash coverage. On the next slide, let's look at the translation of this into net cost of risk. Despite the normalizing NPL inflows, the net cost of risk remained low at 64 basis points, mainly due to the strong recoveries booked under the wholesale business. Net provisions seem to have increased by only 25% year-on-year. However, isolating the part relating to the earthquake, they were up by actually sixfold to TRY 2.2 billion, showing that our prudent provisioning remains intact. On the funding side, deposits dominate the funding assets and with more than deposits dominate and fund the assets with more than 71%. Despite the high interest rates, the high weight of demand deposits remains to be the key financial differentiation in terms of our margin outperformance. Borrowing share in funding assets remains low at under 7% even after our recent Tier 2 issuance of $500 million. Total external debt as of the quarter end was $4.5 billion, and you can see the breakdown of our foreign debt in the pie chart on the right-hand side, securitizations make up 43%, sub debt 28%, and the syndications make up 19% of total external debt. 100% of the new debt issuances since 2021 has been ESG linked and 1/4 of our total wholesale funding is ESG linked. Of the total foreign currency debt of $4.5 billion, $1.4 billion is due within a year. Against that, we had a foreign currency quick liquidity buffer of $8.6 billion as of the quarter end. The year-to-date increase in the foreign currency liquidity buffer relates to the increase in swaps as part of our funding cost optimization strategy. In line with the regulations, liraization efforts continued also in the first quarter. While there was still strong demand for foreign currency given the pre-election period, Turkish lira deposits increased by another 4% and foreign currency deposits by 5%. Shying away from the high deposit pricing, we succeeded in growing our demand deposits even more. Regarding demand deposits, Garanti continues to lead and customer demand deposits share in total with 43% versus the average of private peers of 36%, actually 45% on a bank-only basis versus private peers 36% for bank-only figures, that's more comparable. So this presents a significant funding advantage and clearly reflects on our superior margin performance. Even though there was an inevitable quarterly drop -- on the margin page, I want to go back. In total margins due to lower CPI reading, we could expand the core margin on a consolidated basis by 21 basis points to 2%. The expected CPI drop of 171 basis points on the other hand, is due to the whole year's inflation adjustment hitting fourth quarter. Accordingly, the CPI used in valuation of the linkers in the last quarter was 100% versus first quarter CPI estimate of 40%. As a result, CPI revenue Q-on-Q was down by TRY 7 billion from TRY 15.2 billion in the last quarter to TRY 8.4 billion in the first quarter. Nonetheless, we keep our legacy in generating the highest in sector or net interest income. Our core net interest income reached TRY 9.6 billion in the first quarter, up from TRY 7.3 billion in the prior quarter, which at the time was by far the highest among our peers. We continue to fight the ongoing funding cost pressure with active loan pricing, funding mix management to optimize and lower overall funding cost and duration gap management. The rising interest rates and added regulatory thresholds with minimum Turkish lira conversion targets still impact funding costs negatively. As deposits rate stabilization near and currency remains at reasonable levels, we expect to see a more visible core margin expansion in the second half of the year. Moving on to the performance in net fees and commissions, we could grow our net fees and commissions by 16% in the quarter and triple it year-on-year to near TRY 20 billion or TRY 19.6 billion to be exact for the quarter. In a period of payment systems, 4.5-fold year-on-year fee growth versus above inflation, 70% to 80% annual fee growth in other fee-generating businesses, payment systems fees contribution to net fees and commissions reached 62%. This exceptional performance in payment systems is owed to the interest rates that are up by more than 40 percentage points year-on-year and also was a natural outcome of our #1 rank in serving the highest number of credit card customers and issuing volumes. The main contributors to our robust fee performance are definitely the strength in relationship banking and digital empowerment contributing to not only growth in our active customer base, but also penetrate further the existing customers. Our digital active customers now reached 15.5 million and digital sales and total sales is 90%. As for the operating expenses performance on Slide 16. Quarterly growth was 26%, and the annual growth pointed to 78% post last year's earthquake-related expense and currency adjustments. Notice the non-HR-related costs were much lower than HR pointing to increased efficiencies and tight cost management. On the HR side, cost growth seems elevated due to the prior 2 wage adjustments parallel to increase in inflation. Year-end growth here will converge to lower levels, however, will remain above inflation, as guided. Efficiency indicates that the cost income was 42%,  it was higher versus the year-end and the last quarter largely because of the CPR revenue drop of TRY 7 billion in the first quarter versus the last. These coverage of OpEx, on the other hand, was quite strong, healthy and supportive 90%. And operating expenses and average assets came in at 3.8% in the quarter. As per capital, the quarter end consolidated capital adequacy ratio without the BRSA's forbearance was 15.4% and core equity Tier 1 was 12.7%. Both remained well above the regulatory and ICAP requirements. The expected limited drop starting the year relates to operational risk calculated annually under basic indicator approach and the dividend payment, whereas the net income and the Tier 2 issuance more than offsets the market and credit risk impact on capital. The foreign currency sensitivity on our capital adequacy ratio has dropped to a near 17.5 basis points negative for every 10% depreciation, post our $500 million Tier 2 issuance in the quarter. In summary, first quarter 2024, we could sustain a high-quality and top line net income owing to our high share of customer-driven assets. Loans make up 55% of our assets and support our sustainable revenue streams. Our core banking revenues alone registered 28% quarterly growth and likely will again end to be the sector's highest with TRY 39.1 billion of core bank revenues in the quarter. We make the utmost difference in the sector in core net interest margin performance. It was 2% in the quarter. As Garanti BBVA, we managed the largest Turkish lira loan and Turkish lira deposit portfolio among the private sector banks. Not only we ended the quarter with an above-sector Turkish lira loan growth while sticking to the loan caps, but also we manage actively the funding composition and continue to benefit from our high demand deposit base. On the fee side, our diversified fee-generating businesses, along with the extraordinarily high payment systems fees brought the fees coverage of OpEx to a significant 90% in the quarter. On the asset quality front, we started to see more normalized retail and credit card NPL inflows as expected and guided. However, first quarter net cost of risk remained low due to the continuing strong collections from the wholesale business. Our total provisions on balance sheet is the highest among private banks. On the capital front, we remain solid. We had TRY 65 billion of excess capital as of the quarter end when calculating without the BRSA's forbearance. Plus, we reduced the currency sensitivity on capital via our most recent Tier 2 issuance. Our progress in business growth continues. Today, every 1 out of 2 bank customers has an account with Garanti BBVA and our digital active customers with 15.5 million is the highest base in the sector. In conclusion, these are the messages we wanted to share with you. It is now time to take your questions. Thank you for listening.
Operator: [Operator Instructions] The first question is coming from Mikhail, Goldman Sachs.
Mikhail Butkov: I have a question. In the light of the recent rate hike and also the additional kneecaps on loan growth, how do you see -- do you see any changes to your outlook for the full year 2024, which you previously outlined either on the growth side or on the net interest margin side. And also, looking into the second quarter, do you expect the positive trend on net interest margin there? Or in the light of the recent hike, you would expect some pressure from the funding costs there.
Unknown Executive: So when we budgeted -- that regulatory limitation, we're very close to existing one. That is the reason the TL loan growth and the composition will not change too much. And again, if there will be any regulation, regulation will impact its -- but under current circumstances, we don't expect any difference with our guidance. On the NIM side, in the second quarter due to increase in the funding cost, which was triggered by Central Bank's rate hike, I think we were expecting to reach better net interest margin in the second quarter. But as I said, Q2 500, its rate hike. We are going to see similar net interest margin in the second quarter. But in the second half of the year, we are expecting to see more visible improvement in the margin as repricing on the asset side, we'll continue and stabilize post-stock deposits. So we don't see any risk on our flattish net interest margin guidance as we announced at the end of the year.
Mikhail Butkov: And also, could you remind what's your outlook on policy rates now by the end of the year? Did it change since the last update?
Unknown Executive: I think we don't expect any rate increase, but in line with the monetary tightening issues as we are going to reach to the expected inflation levels, we might see some decreases rate cuts in the fourth quarter. But until fourth quarter, we don't expect any change in line with the inflation level, there may be some adjustments. It will be under rates cut side.
Operator: Seems like we don't have any more questions. So this concludes the Q&A session. I leave the floor to our presenters for closing remarks.
Unknown Executive: I think before the closing remarks, I have to thank my colleagues for this satisfactory presentation because there is no question. I can -- all the questions were answered by the presentation by itself. So thank you all for your participation. We started the year with outstanding results, not just the level but also the high-quality earning performance once again underscored our active and timely balance sheet management. For the coming periods, there are 2 issues I would like to underline. The first, managing TL deposit cost has gained even more importance as we are managing the largest TL loans and TL deposits among private banks. Our agility and strength here direct reflects on our core margin performance where we have unrivaled leadership. Secondly, we expect to see the positive results of the sound and healthy policies more visibly in the second half of the year. Increased predictability has accelerated de-dollarization. We believe that if inflation falls to the level targeted by Central Bank, the current tightening measures can be eased in the second -- in controlled manner. Regardless of the situation, we remain committed to exceeding expectations. So thank you again for your time. Hope to meet you soon.